- :
Operator: Good day, everyone, and welcome to the RBB Bancorp Earnings Conference Call for the Third Quarter 2022. At this time, all participants are in a listen-only mode. Later, you will have an opportunity to ask questions during the question-and-answer session. [Operator Instructions] And now, I would now like to turn the conference over to Ms. Catherine Wei. Please go ahead.
Catherine Wei: Thank you. Good day, everyone, and thank you for joining us to discuss RBB Bancorp’s financial results for the third quarter of 2022. With me today are President, CEO and CFO, David Morris; EVP and Chief Credit Officer, Jeffrey Yeh; EVP and Chief Risk Officer, Vincent Liu; EVP and Chief Strategy Officer, Simon Pang; SVP and Chief Accounting Officer, Shalom Chang. David will provide a brief summary of the results which can be found in the earnings press release that is available on our Investor Relations website, and then we'll open up the call to your questions. During this conference call, statements made by management may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon specific assumptions that may or may not prove correct. Forward-looking statements are also subject to known and unknown risks and uncertainties and other factors relating to RBB Bancorp's operations and business environment, all of which are difficult to predict and many of which are beyond the control of the company. For a detailed discussion of these risks and uncertainties, please refer to the documents the Company has filed with the SEC. If any of these uncertainties materialize or any of these assumptions prove incorrect, RBB Bancorp's results could differ materially from its expectations as set forth in these statements. The company assumes no obligation to update such forward-looking statements unless required by law. Now, I'd like to turn the call over to David Morris. David?
David Morris: Thank you, Catherine. Good day, everyone, and thank you for joining us today. Increasing rates continue to drive performance to record levels in the third quarter with net income of $16.7 million and earnings per share of $0.87. Net interest income increased to a record $37 million as loans grew and margins improved. Third quarter non-interest income decreased by $887,000 from the previous quarter, due primarily to the second quarter gain of $757,000 on a corporate real estate asset that we sold.  As expected, noninterest expense decrease from last quarter primarily due to the 1.2 million decrease in expenses related to the substantially completed Board of Directors investigation. I hope to be able to announce the conclusion and findings of the investigation during the fourth quarter.  Net interest margin continued to increase during the quarter from 4.08% in the second quarter to 4.31% in the third quarter, and 3.38% a year ago. We are cautiously optimistic that we'll be able to maintain an elevated NIM in the quarters to come as we anticipate that asset yields will continue to increase more quickly than deposit costs. Annualized ROA and ROTCE increased in the third quarter to 1.72% and 16.58%, respectively. Return on equity which excludes the impact of AOCI also increased to 13.93% from 13.3% in the second quarter and 13.52% last year. Net loans held for investments increased by about $173 million to $3.2 billion in the third quarter with CRE and residential mortgages showing good growth and C&I construction and other loans all decreasing from the last quarter. Our yield on average earnings assets increased to 5.13%, which was 47 basis point increase from the last quarter and 116 basis point increase from the prior year.  With respect to funding, commercial customer activity drove $118 million decrease in average noninterest bearing deposits over the quarter. Our average cost of interest bearing deposits for the quarter was 0.82%, which was up 33 basis points from the prior quarter. As I mentioned last quarter, the increase was expected and most likely to continue for the next few quarters. We continue to be below our competitors on deposit pricing, but it has been forced to increase rates to retain deposits.  Nonperforming loans decreased to $11.5 million from $13.9 million last quarter. Last 30 to 89 days delinquent increase to $39.9 million in the third quarter compared to $8.3 million in the second quarter. The increase was due in part to two loans, one was a construction loan up $11.3 million on a project that is substantially complete that was delinquent for 52 days due to administrative delays in processing an extension and one was a commercial real estate loan of $8.8 million that was also delinquent for 52 days due to similar delays. All the extensions were planned well in advance but unfortunately could not be completed on schedule and so led to the increase in delinquent loans.  As of October 21, loans differ to 89 days delinquent has decreased to $14.5 million. So while the September 30th numbers look alarming, we do not think it is a sign of the deteriorating credit. We took a provision for credit losses of $1.8 million in the third quarter primarily attributable to loan growth. Capital levels remain strong with all of our capital ratios well above regulatory minimums, we can continue to repurchase shares in the third quarter with 95,000 shares repurchased an average price of $20.93. We have 482,000 shares left on the buyback and intend to continue to utilize it as appropriate. With that, we are happy to take your questions. Operator, please open up the call.
Operator: [Operator Instructions] Our first question comes from Kelly Motta with KBW.
Kelly Motta: I think maybe starting with the early stage delinquencies and the process delays that you cited. David, your expenses are lower too. Do you have all the people you need in place to run the operations? Are you with the delays? Do you have the capacity to support the business or there places that you're adding people just trying to close the loop there?
David Morris: We have plenty of staff in our credit department to do this. These delays are sometimes out of our control due to our client base and their travel schedules to Asia. So that's sometimes we have this from time to time where things go delinquent, because of that. I announced that we are looking for a controller, in the county near area, because I expect Shalom will take over the role of Chief Financial Officer at some point in time in the next few months. So the Chief Accounting Officer position is a stepping stone for him. And I will be relinquishing that title at that time. I also said in our press release that we are looking for a president that will come in, that will be the face of the bank to our local community. And I will still drive strategy and I will still be the Chief Executive Officer managing the whole organization in total.
Kelly Motta: And I importantly forgot to congratulate you on your title officially, David. So congratulations on the new role. I know you've been doing for a while. The loan growth has been really strong. It looks like there was a lot of that was single family residential. Wondering, if there was any portion that was purchased at all if, the Fannie Mae or non-QM and just kind of any outlook for single family as well as overall kind of loan growth outlook?
David Morris: Single family, let's start with Fannie Mae. Fannie Mae is close to zero production. So most of our production is non-QM. Our pricing now is approaching 7% on that product and probably soon will be over 7%. So -- and we are seeing I don't want to say, we have seen that also coming back a little bit. We were doing in the $40 million a month after that's dropping down to about $35 million. As far as commercial concern of bigger problems, we have some large loans paying-off, some large construction loans paying-off in the fourth quarter. So having the same growth we had in the third quarter for the fourth quarter will be very difficult for us.
Kelly Motta: Got it. Understood. Maybe last question from me is on the deposit, you had to the decline in non-interest bearing, but increases in your interest bearing deposit. Wondering if there was any migration between line items and just kind of overall outlook for funding your growth, whether you are going to be tapping more wholesale sources and just any sort of outlook on that?
David Morris: I prefer to fund our loans through our customer base time-to-time because of liquidity needs. We do use outside brokers -- broker deposits. What I see is, certainly people who are very extremely wealthy, if they are not keeping their money aside to invest into other assets like real estate or today we have people going into two year treasuries because of where the rates are today and those types of things. They are slowly transferring some of their deposits over to either money markets or into CDs. Our biggest issue, we do have one customer that does trading -- does trading in crypto and so forth, that customer will -- whereas they are very solid as their financials, their volume has shrunk tremendously, because of a crypto winner and we have gone from $300 million down to approximately $100 million in DD -- and non-interest bearing DDAs and so forth. So that's also, as it is our one customer. Okay?
Kelly Motta: Got it. I will step back and let others ask questions. Thank you so much for the time, David, and congratulations again.
Operator: [Operator Instructions]. We'll go next to Nick Cucharale with Piper Sandler. Your line is open. Please go ahead.
Nick Cucharale: Good day, David, and I will echo the congratulations as well.
David Morris: Thank you, Nick.
Nick Cucharale: I just wanted to make sure I heard your NIM commentary correctly. Are you expecting further expansion in the fourth quarter or are you anticipating the pickup in liability costs that there will be some compression here?
David Morris: I don't think the fourth quarter will show a huge gain in NIM, okay? I think we will still expand. But I think as we get to the end of this and we begin to -- more and more CDs reprice and more and more people move out a noninterest bearing, you're going to see that the NIM will stabilize. And then eventually, as rates begin to go down, we will see them compression.
Nick Cucharale: Okay. Can you update us on your expectations for the gain on sale, but as you mentioned close to zero production on the Fannie side, but do you expect that to pick up in the coming quarters? And then if you could touch on the SBA front, especially in light of the lower premiums seen there?
David Morris: I do not expect Fannie Mae to come back until we see pricing back down to the 4% range. Okay. We are working on trying to for next year to sell our non-QM product. We're trying to convince the regulators of Fannie Mae that the box sales that they do is advantageous to the minority depository institutions. So we're working on that angle to try to be able to sell our non-QM loans to Fannie Mae. Right now, I don't see -- for the fourth quarter, I see our gain on sale being where it is. And although we do have a few more SBA 7A’s to sell, and all but that business itself has -- we're going into a recession, we're at the top of -- our interest rates are coming to the top, hopefully in the next month or two, maybe three and that business has slowed down dramatically.
Nick Cucharale: Do you have an updated timeframe for the closing of the gateway deal?
David Morris: It will be next year. I don't have the exact one but we're still in a deal.
Nick Cucharale: And then lastly, how are you thinking about repurchase? So it looks like its slow this period relative to the second quarter, yet the average price was relatively similar. Is this just a desire to keep more dry powder for long growth or how are you thinking about that? 
David Morris: Well, we're still going to be out in the market, but our -- we look at it where our stock price is trading on a day-to-day basis, basically. And what is also the volume that's been traded. So we were out there almost the whole month of September and all of October. And that's all we were able to do mainly because of the volume.
Operator: Our next question comes from Ben Gerlinger with Hovde Group. 
Ben Gerlinger: Congratulations on the permanent job role title. I'm curious, if we go back just a little bit on the kind of the inner workings and the thought process behind it, I'm sure there's a lot of different avenues that you guys could have taken in use, someone outside or potentially sell the bank. And then when you just read about entering a recession, you guys also have quite a few openings or some musical chairs that have to be played with positioning and behind the scenes effort before you can kind of fully play 100% offense, I'm curious what the appetite is towards overall continuity as an individual firm and another gateway, still pending. But was there ever a thought process of partnering with somebody larger?
David Morris: We constantly review that -- the board constantly reviews whether or not the timing is right to merge or not to merge and so forth. They specifically meet twice a year and have bankers come out here and tell them about the market and so forth, so. And I meet with bankers probably every month about the same thing, and if anything changes I will mention that to Dr. Kao and the rest of the Executive Committee of the Board.
Ben Gerlinger: And then finally in terms of expenses, I know you still said you have the larger positions that still need to be placed. Thinking about just kind of the boots on the ground blocking and tackling type blunders, most people. Once everybody's in place, do you think that expense base changes in any meaningful manner? Are we just talking more kind of title changes from what it currently is for the past quarter or two?
David Morris: Clearly, the President will be hired from outside the bank. So you would have had a President's salary; however, there may be other salary eliminations that I can't really speak about to help fund that.
Operator: Next question comes from Tim Coffey with Janney. 
Tim Coffey : My questions are kind of on the loan to deposit ratio. Do you have a goal to target for that ratio over the next four quarters or five quarters?
David Morris: I think because of what's going to happen in the market, you're going to see loan growth slow. And we're seeing some of that already. So I was -- I think we're going to look at a loan to deposit ratio of -- we always run above 100% typically, we run above 100%. But I think you'll see us between 100 and 105 instead of 105 and 110. 
Tim Coffey : It looks like you have plenty of capacity for additional borrowing. It's not that they're the most cost effective source of funding right now. But you could go higher if you're -- with the loan growth, of course. And then the speaking of loan growth, given I guess the downtrend CRE that you’re expecting from the payoffs, which tend to be bigger volume, bigger dollar volume loans, could loan growth just be de minimis this next quarter?
David Morris: No, I still think we will have -- when we say de minimis, I'm thinking this thing about $10 million or something like that. I think we will still have above a $50 million quarter, so overall between the two.
Operator: Your next question comes from Andrew Terrell with Stephens. Your line is open. Please go ahead.
Andrew Terrell: Hey, good morning. I want to echo what others have said, congratulations David on the title. 
David Morris: Yes. Thank you.
Andrew Terrell: Just to start on the margin, can you remind us just of the CD portfolio, what you have repricing in the fourth quarter on a scheduled basis? And then what the roll-on, roll-off dynamics look like from cost standpoint?
David Morris: Okay. So quarter three, four, shows that -- that really can't be correct.
Andrew Terrell: I can kind of follow-up, if that's easier.
David Morris: Okay. I see that there would be about $200 million that will be repricing in the fourth quarter.
Andrew Terrell: Okay. And kind of new CD rate, are you offering in the market right now? I know you have been able to kind of lag competitors, but curious where new CDs are pricing at for you guys?
David Morris: We are close to 3%. Our competitors -- some of our competitors are at 3.50%.
Andrew Terrell: Would you anticipate if we get incremental rate increases here in the fourth quarter, you are going to raise that 3% rate?
David Morris: I believe it will have forced -- tough to do it. Again, like I said, we have people, we have competitors that are over 3.50, people have 3.75. We have competitors that will give their VIP customers 3.25, 3.50, like that. Most people are projecting it will be a Fed fund rate of between 4% and 4.50%, although I've seen projections as high as 6% on the Fed fund rate. If we go to 6% I think that will be catastrophic for both loans and deposits. Catastrophic may be too tough of a word but I think it will be very concerning.
Andrew Terrell: Okay. Understood. And if I look at your kind of deposit cost increased this quarter, interest bearing deposit costs up 33 basis points. And my math gets you to kind of a mid-20 percent interest bearing deposit beta? Can you just remind us kind of your expectations through the cycle for deposit betas?
David Morris: I think you are going to see deposit betas closer to 50 this quarter.
Andrew Terrell: Okay. And then just maybe stepping back kind of a bigger picture question with the announcement regarding the CEO. I know you mentioned earlier in the call, kind of your focus full time on strategy at the organization holistically going forward. Just hoping you could maybe paint a picture of as we look out over kind of next 3, 5 years. What does the strategy look like for RBB? Has anything materially changed versus previously? And then kind of where are you most focused on over the next several years as you think about kind of organically or inorganically growing the franchise?
David Morris: Number one is, I think we will continue our growth strategy that we have had. For example, we will complete our Gateway acquisition, then we will concentrate on growing in the areas that we have either through end market acquisitions or just de novo growth in the near-term. However, like I said, prior, we're always looking for other opportunities and if something comes up, we will do that.
Andrew Terrell: If I could just take one more. Do you have the balance of how much you have outstanding in [SNIC] credits?
David Morris: It’s not -- what is [SNIC] credit? 
Unidentified Company Representative : I think actually we do not take new credit. At this moment our credit is somewhere about $20 million to $25 million.
Operator: [Operator Instructions] We'll move next to Jordan Hymowitz with Philadelphia Financial. Actually, last question, I apologize. We'll go to Kelly Motta again with KBW.
Kelly Motta: I'm going to step back, my question was answered in further Q&A. Appreciate it though. 
Operator: And with that, I do not have any other questions holding. I'll turn the conference back for any additional or closing comments.
David Morris : Once again, thank you all for joining us today. We look forward to speaking to many of you in the coming days and weeks. Have a great day. Thanks.
Operator: And ladies and gentlemen, that will conclude today's conference. We thank you for your participation. You may disconnect your phone line at this time.